Operator: Good morning everyone, and welcome to Wesdome Gold Mines, Fourth Quarter and Full Year 2022 Financial Results Conference Call. I will hand the call over to Heather Laxton to begin today's call.
Heather Laxton: Great, thanks operator, and good morning everyone. Thanks for joining us today. Before we begin, we'd like to take this opportunity to remind everyone that during this call we'll discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could cause outcomes to differ materially due to a number of risks and uncertainties, including those mentions in the detailed cautionary note contained in yesterday's press release and in the company's management discussion and analysis dated February 22, 2023. Both documents are available on our website and on SEDAR. Please note that all figures discussed on this call are in Canadian dollars unless otherwise stated. The slide views for this presentation and a recording of this call will be posted on the company's website. And now it's over to Lindsay Dunlop, vice President of Investor Relations.
Lindsay Dunlop: Thanks Heather. Speaking on the call today will be Board Chair and Interim CEO, Warwick Morley-Jepson; COO, Fred Langevin; CFO, Scott Gilbert; and VP Exploration, Mike Michaud. Also on the call today is Raj Gill, VP, Corporate Development. Warwick will open up our call.
Warwick Morley-Jepson: Good morning everyone. Thank you for joining us today. To those, I have yet not met, I have been involved with the company since 2017 and I'm currently Board Chair and Interim CEO. Our way of background, I am an operator with over 35 years experience in deep level underground goldmines, including several years working in Russia in comparable climates and conditions as Northern Canada. I'm intimately familiar with the operations of West and I have moved my home base to Toronto and will remain here until a permanent CEO is hired and settled in. While 2022 was a challenging year in many ways, our accomplishments; we are very proud of, is putting a second mine into production; funded almost entirely from internal generated cash-flow. The guidance we have provided for 2023 is achievable and our production is vested more heavily in the second half of the year. The work we are doing this year is setting up the company for a strong 2024 and beyond. Fred will now provide a detailed review of our operations. Over to you Fred.
Fred Langevin: Hi everyone, and thank you for calling in this morning. Starting with Eagle in Q4, we achieved excellent production rates from the underground mine, with an excess of 62,000 tons of our moves. This quarterly throughput from the underground mine is the result of improved ventilation after the commissioning of the five-point level booster fans, earlier this year, combined with operational efficiency measures put forth in HD[ph]. Q4, numbers contributed to achieving a new productivity record for the underground mine with a total of 231,000 tons of our move in 2022. Rate in Q4 came in slightly above expectations, as a result of some very high grade production from the Falcon Zone starting in November with one particular stop yielding almost 14,000 tons of 28 grams per ton material over the two months of November and December. Unfortunately, a significant part of the high grade or produced in December, could not be sent to the mill before the end of the quarter to be processed, as the major winter storm that rolled over most of Canada at the end of December; caused road closures at site, with complete interruption of the flow of ore from the mine to the mill for several days. This resulted in the operation ending the year with approximately 6,000 tons of ore at 18 grams with some left unprocessed until later in January. At Kiena, the team at core, achieved record throughput in the start of operations in Q4 with 35% more tons processed than previous best established in Q4 of 2021. The lower grades achieved during the quarter were due to the source of ore, whereby limited production capacity in Kiena Deep, caused us the supplement production from the lower grade Martin S-50 and VC zones. Lower grades are expected to continue into 2023, as we will continue to supply the mill with lower grade ore from those zones to supplement the Kiena Deep material that will be available to mine, which is now mostly lower grade fringe material and diluted ore from previously mined areas. Despite Q4 being amiss on the production side, our team was able to achieve key milestones, instrumental to the successful ramp-up of mining activities into 2023 and beyond. First, the pastefill plant was successfully commissioned and delivered to production in November. The plant has been operating since performing in-line with expectations. Pastefill has always been identified as a critical component to the successful mining in Kiena Deep. Now that it is available to the operation, it helps reduce some standup time, minimizing the risk of instability. It also helps better controlling dilution and will allow for a more rapid overall extraction sequence. Demonstrating the viability of the Pastefill plant, was the final element for Kiena Deep commercial production criteria and commercial production was declared on December 1st. As for development of Kiena, a lot of great good things have happened in Q4. Now that the Pastefill plant is online, operators and equipment previously allocated the cemented Rockville operations have been freed up and reallocated to production and more importantly to development activities. Also, the team was very resourceful, given the very competitive market and successfully sourced rental bulking equipment critical to achieving development rates. As a result, we now have three rental MacLean bolters underground. We also took delivery in Q4 of the first of our two long delayed bolters, bringing our total underground fleet of bolting equipment to four, two more on the PFS called for. This redundancy that we now have, will guarantee that we have the required capacity to offset the availability of parts issues as we're still facing supply chain challenges for mobile equipment repair parts. All of this combined with the ventilation upgrades completed that the end of Q3 resulted in our team at site achieving the site's best quarterly development performance to date in Q4. Likeliness development in the ramp with Kiena Deep itself has exceeded expectations and as a result, we have started 2023 ahead of our budget schedule and we have our budget scheduled and we have continued to exceed budgeted development rates in the ramp in January. We are therefore very well positioned as we enter 2023, and the team at site is laser focused on execution of the ramp. As the slide is showing, the mining method requires us to develop the ramp going down multiple levels to accept the lower level of new mining blocks to then proceed to mine these blocks upwards. So even though development of the ramp is currently tracking ahead of budget, the benefits of over-performing are not immediate and unlikely to change 2023 in terms of assets, but it will provide earlier access to the 129 mining bot to achieve 2024 production. Over to you Scott.
Scott Gilbert: Thanks, Fred. In Q4 2022, Wesdome sold 31,500 ounces of gold, which generates $75 million. The cash margin was $26.5 million. The cash generated from operations was $10.3 million, and the free cash output was $31.6 million. We incurred 39.2 million in capital spending, which included $26.5 million at Kiena. At December 31st, '22, the liquidity position was approximately $130 million, which includes $33 million of cash and equivalent and $95 million undrawn under the credit facility. We established an ATM Equity Program on December 2nd, 2022, which allows the company to issue and sell up to 100 million of common shares from treasury. We're using an ATM as it incurs lower commissions and can be used opportunistically. In December, the ATM was only active for approximately half of the available date, and the company made $13.1 million of gross proceeds by issuing approximately $1.6 million shares at an average price of $8.21 per share. Shares cannot be issued through the ATM program while the company is in a blackout period. Per Wesdome's internal policy, the typical period extends six weeks post quarter end. At the end of 2022, the company has drawn $55 million from the credit facility and the variable interest rate is approximately 7.6%. Over to you, Mike.
Mike Michaud: Thanks Scott. At Kiena, we continue to be pleased with the underground expiration drilling results at three main targets. First, at the down plunge expansion of the A zone, recent drilling has extended the zone of additional 125 meters down punch. One hole returned 24 grams to over four meters true thickness. Second, at the foot wall zones, in-filled drilling continues to better define these lenses and increase our confidence in the geologic model. Based on our announcement of last week, many holes returned high grade confirming previous results. One hole returned 34 grams per ton over 22 meters core length. Third, at our most recently discovered zones, namely the South Limb of the A zone and the two hanging wall of South zones, drilling along the South Limb of the A zone returned 16 grams per ton over 5.4 meters to width. Meanwhile, drilling up the hanging wall, the South zones returned a high grade of 2,850 grams per ton gold over 1.5 meters from a quartz vein, and also 4.1 grams per ton gold over 22.8 meters from a solidified metric volcanic. This discovery is significant in that memorization occurs in a host rock not expected to host gold Moderna -- gold memorization in this area. And because of the length of the intersection, it represents [indiscernible] potential. The overall joint results not only confirm the A zone keeps going to depth, but also that these results have the potential to increase the number of ounces per vertical meter that will provide additional working faces during mining of the A zone. Also, the hanging wall South zones occur within volcanic rocks where the rock quality is significantly better than in the neighboring ultra automated rocks. On surface, based on the positive drilling results at Presqu’ile last year, the company is moving ahead with the development of an exploration ramp from surface to explore this zone. In the future, this ramp could be leveraged to easily connect to Kiena's existing underground, underground ramp network, providing access to surface for the existing operation that comes with many benefits. At Eagle River, giving some initial challenges with forecasting at Falcon, we have completed 95 definition drill holes and several hundred meters of development on various levels to better understand the grade variability which is being incorporated into the end of year resource and reserve estimates. A portion of this drawing was completed from the recently established 355 meter level, which extends approximately 400 meters west of the existing mine workings. From this level, we were able to test for continued memorization both up plunge and in parallel zones. This drilling successfully extended the zone up plunge to surface. In addition, a number of drill holes intersected memorization in sub parallel zones in the hanging wall of the Falcon seven zone, possibly the mine five and 311 west zones. We also are continuing to explore further to the west a long strike from the Falcon 7 zone, near the historic nine zone, the Felsic volcanics, which provide competency contrast with surrounding the south that provide a favorable location for Goldman mineralization, similar to that of the mine diorite. Another exciting area which has the same hose rock volcanic as the Falcon zone has been recently tested on the eastern side of the mine diorite. Initial surface drilling intersected altered volcanic rocks with quartz veining invisible gold. One hole returned 233 gins per ton over 0.4 meters and follow up will be a priority going forward. The site teams are currently updating the annual mineral resource and reserve estimates, and we expect to release in March, which is our typical timeframe. Over to you Warwick.
Warwick Morley-Jepson: Thank you, Mike. In summary, I want to underscore that Wesdome management, including myself, are focused on delivering 2023 guidance through operational execution and all the indications at this time are that we remain well on our way. We will need to execute on four fronts, most importantly, laying the groundwork for Kiena to reach its full potential. This will be driven primarily by the ramp development, which is currently tracking ahead on of schedule. Once we reach 129 level at year end, we can then begin developing higher grade reserves, thereby starting to generate production in-line with the pfs levels as well as the strong cash-flow margins. Secondly, we look to accelerate the pay-down of the outstanding balance on our credit facility. West has a long track record of organic funding of projects, including the delivery of a second producing asset with minimal equity dilution. So while implementing the ATM tool, was a difficult decision, it will allow us to limit equity issuance only to what is absolutely necessary to reach the net cash position. Another area of focus is upgrading our internal technical be bench strength within the business. Recently, there have been several very welcome hires in key operational, planning and procurement personnel. We believe that both stream are technical, strength internally will be a strategic advantage and translate to higher performance at all levels of the business. Finally, we are committed to continuing our ESG initiatives. Despite having a relatively low carbon footprint for the space, we continue to drive focus and attention to defining our climate change target and initiatives. This concludes our call today. We now open up the line for questions and answers.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ryan Walker with Echelon Partners. Your lines now open.
Ryan Walker: Hi, good morning everyone. Thanks for the call. I'm glad to hear that you've received one of the, one of the New Rock bolters. What's the ETA on the second one there and with the plan B to retain the rental units, once you get both units up and running there, or will you just go with your own units at that point?
Warwick Morley-Jepson: Thanks, Rolan. I'm going to give it to Fred to give you an answer there?
Fred Langevin: Yeah, the EPA for the second bolter, it's actually sitting at the supplier's warehouse right now. We haven't taken delivery of it right now but it is certainly the plan as our equipment comes in. We also have two MacLean Bolters on, on the order. And as those equipment come in, we will definitely remove those rental equipment that we have right now.
Ryan Walker: Okay, great. And then you mentioned, you know, the positive grade reconciliation in the Falcon Zone. Can you quantify that at all? Is it, is substantial positive reconciliation?
Fred Langevin: Yeah, certainly. Fred speaking certainly in Q4 we've seen very good grades coming from the, from the Falcon. I would say it's in the range of 30% to 50% more than we expected, especially in, in November and December. So we're happy with those results. It, it does upset some of the underperformance that we've seen earlier this year.
Ryan Walker: Great. Okay. And then just, just finally for me here any update on the finding a new CEO to replace Duncan?
Warwick Morley-Jepson: I could answer that for you, Ryan. We have established a search committee, which is at the board level. It is chaired by our chairman of the comp and HR committee, and he has two directors working alongside with him. They have a established an agreement with a well known search company, and they are currently at work compiling the mandates. And, and the search has already started prior to the actual search starting we have had a number of people, some of which are well-known to the industry that have actually approached us. So that's where it is. As far as timing is concerned, our best estimate is in the order of three to six months. Why the log range to six months? It really is dictated by any notice period that might have to be worked. So that's the best I can give you right now, and we'll certainly be working hard at it.
Ryan Walker: Okay, great. Thanks very much. I'll I'll pass the baton now.
Operator: Thank you. Our next question comes from the line of Andrew Mikitchook with BMO Capital Markets. Your line is now open. Andrew, your line is open. Please check your mute button.
Andrew Mikitchook: Yes, the mute button. Thank you for taking my question. Can we just get a further maybe commentary on availability of spare parts and I don't know, even maintenance or specialist contractors to be able to perform better than in 2022 at both mines; Cause I think that to some degree impacted performance?
Warwick Morley-Jepson: Okay. I'm going to hand this one to you, Fred, to give you some of the detail, but you know, what I, what we are experiencing is, I believe a global phenomenon, supply chain globally has been a, a challenge. We certainly see things turning around, but they are, they are not quite there as to where we were prior to the pandemic, so over to you Fred, if you could give some more color on that?
Fred Langevin: Yeah, of course. So basically the situation in 2022 was much different than this year in the sense that in 2022, we had difficulties getting the equipment at the site which has been a challenge. Now that we have sourced those rental bolters, they are sitting at the mine and they are operating, and so we now have four of those as opposed to what the PFS called for, which is two. And so now the remaining I would say constraint here is, is really the availability of parts. And as Warwick mentioned, this is really a global phenomenon right now. That being said, with the supplier of those MacLeans, we have the same thing for the bolters. We have secured contracts with the suppliers to have their specialized mechanics come to the site and teach our mechanics for the best maintenance practices on these equipments. And also the fact that we basically the sheer number of equipment that we've brought to site now also secures that availability to some extent the PFS called for two equipment that would be available at 85%. We now have four. So we, we can go down a two as low as 50% availability before we see an impact, I guess, on our performance. And that is the whole rationale for sourcing more equipment really than what the PFS called for. So we're confident that with de fleet that we have right now, we're going to be able to deliver on what we committed.
Andrew Mikitchook: Okay. But just to confirm that the, you are broadly still seeing some level of constraint in, in spare parts, maintenance contractors even and, and that you guys are, are trying to adjust plans to that situation?
Warwick Morley-Jepson: That's exactly right, Andrew. Certainly the items that would typically be on the shelves of the OEMs prior to the pandemic are not as complete as one would see right now. And so as a result of that, we've addressed it in a number of ways. One, we are in discussions with OEMs to ensure that they or ourselves hold those pots and make sure that they are available.  Two, we've got extra complete machines as Fred described, that ensure that the collective gives us sufficient access to machinery working at the optimum efficiency. And then thirdly addressing our own inventory is something that we have to consider increasing, but certainly it would not be a responsibility that we want to take away entirely from the OEMs.
Andrew Mikitchook: And may maybe two very quick additional questions should, or can you provide any commentary on whether we should expect a continued drawdown for at least part of 23 on the debt facility as you continue to advance Kiena and, covering the expenses involved in that? And secondly, what would be the scale of the cost of this ramp on Presqu’ile?
Warwick Morley-Jepson: Okay. I let me just start with the cost of the ramp Presqu’ile. It is included in our budget for 2023. It is a not a ramp specifically to into skill and to minor, but rather a exploration facility that gives us access underground to drilling platforms so that we can better access at the right elevation into that old body that $6 million is catered for in our current capital program. As far as the draw down is concerned, you will notice that we are able to maintain our position of 55 million from Q3 into Q4 going forward, it very much depends, as you would expect on our cost program maintaining of our cost program, the answers that we are able to produce ahead of budget, and certainly that is always our objective. And then thirdly, the gold price, I mean, at the start of this year, year, you would've seen that we had that $19, $20 an ounce, which certainly that helped us a great deal, but it didn't take long to get down to current levels, which nearly a hundred, a $100 an ounce lower, and we are seeing a sensitivity of almost $20 million per hundred ounce variants. So, you know, keeping those issues in mind, we will continue to maintain our position on our, our revolver as long as we can, but there's a, we got moving inputs and outputs as you would expect. Does that answer your question?
Andrew Mikitchook: Yes, thank you very much. I'll hand over the microphone to somebody else.
Operator: Thank you. Our next question comes from the line of Wayne Lamb with the RBC, your line is now open.
Wayne Lamb: Yeah. Thank you very much. Morning guys. I guess just wondering maybe at Eagle River, can you give us an idea of the percentage of war plan from the Falcon Zone this year? And then just given the variability in grade, has there been anything you've been able to glean in terms of improving the internal block modeling? And do you feel given the grades that you've seen in the early part of this year do you feel there's a level of conservatism baked into the guidance?
Warwick Morley-Jepson: Okay. There's multiple directed questions there. So I'm going to first give it to Fred to talk to that one. And then Mike he can talk a little bit around what we saw with the significant number of holes that we drilled into the Falcon Zone earlier last year.
Fred Langevin: Great. Yeah. So we, we are going to be sourcing about 30, 30% of the ounces in 2023 from the Falcon Zone. So this is a much lower proportion than would've been included into our 2022 budget. So Mike, if you can talk about their grade, I guess.
Mike Michaud: Yeah, certainly the you know, when we look back at the f and when we, when, when we, we drilled the off, certainly, you know, in our press releases showed that the number showed that the number of high grade hits that, that we had. And you know, one of the things that going into a new zone, I would say that, you know, maybe we didn't have as much shield development out in front of us when we went into that zone for, as part of our forecasting and relied a bit more on diamond drilling. And, and that sort of caused us a problem to forecast incorrectly. I would say in the early part of the years to fix that problem, we certainly gone back in, we've done a lot of seal development and we've added another 20 95 poles for about 20, just over 20,000 meters. And we have a much better field for the local variability and grade, and you know, we're, we're, we've been able to to incorporate that into our, our budgeting, into our forecasting, and now we're incorporating that into our end of year resource and reserve estimate there. So I certainly feel, you know, more comfortable with the additional data and our understanding of the deposit now than, than we were a year ago.
Andrew Mikitchook: Thanks, Mike.
Warwick Morley-Jepson: I think rain, just to emphasize the fact that there's a large nugget effect here. There's also a large component of free gold. We are seeing both swings and roundabouts some months. We are certainly seeing a, a, a higher grade variability and then months that follow low grade. What the drilling has helped us to do is to understand that variability to a much greater extent and to predict our goal production through 2023.
Andrew Mikitchook: Okay, perfect. Thank you. Sounds like some good progress being made. I guess on the balance sheet, just wondering what's the level of working capital required to fund the ongoing operations? And then just given the working capital deficit and the spend remain at Kiena, how aggressive do you plan to be on the ATM or will you look to fully draw down the facility before ramping up on equity?
Warwick Morley-Jepson: Okay, I'm going to hand over to Scott to talk about the balance sheets in our working capital position, but just as far as the ATM is concerned, you know, we do understand that in the eyes of many it is not the preferred route. I think from a point of where we sit as a, as a company, we needed to understand how we can ensure our continued liquidity, the revolver whilst we have the ceiling of $150 million, it doesn't come cheap. And it certainly is also a, a large cost component to our operating expenses. What we would prefer to do is to draw down the revolver to the point that we can become cash neutral. And in doing that, we certainly are in a position to use the ATM very prudently to ensure that it is done at opportune times and at a time where funds are required and that we don't sit in a position where we've drawn down more than what we acquire. So we need to demonstrate diligence, which I believe to date we've done exactly that. And it is a tool, as I say, that we, we find necessary to have at this point in time. Nothing would make me happier than to close it out. I ever, I don't see that happening in the immediate short term given that we have got a, we have got debt to deal with and we need to ensure the flexibility of the company. And, and lastly, I would say this issue of the unknowns, the gold price is playing a significant role in our liquidity, and we need to ensure that we can deal with large fluctuations in the events of them coming. Scott, would you like to comment on the working capital?
Scott Gilbert: Yes, thank you. As you mentioned, it has diminished since last year. And is the, the just the result of filling out keena as as we've gotten an commercial traction now, we still have some you know, significant spending going forward but with the revolver around the ATM both tools will assist us in you know, controlling our working capital. So we we feel that we're well positioned for 2023 to execute on our plan based on having the two tools.
Andrew Mikitchook: Okay, great. Thank you. And then maybe just last one just on the upcoming reserve update, should we expect any impact or perhaps more conservative reserve grade at Eagle River given what you've learned through mining to date with the reconciliation?
Warwick Morley-Jepson: Yeah, Mike, we'd love to comment on that?
Mike Michaud: Certainly we certainly are incorporating that into the resource estimate going forward. We want to make sure we're looking at all the resources and reserves now. We want to make sure that we're have the same level of comfort everywhere. And if anything is widely spaced drill, we might back off the confidence level of that and continue more drilling for 2023. We have a healthy budget to do the infill drilling and expansion drilling. But really we're, we're working through that now. We'll be releasing that shortly.
Operator: Thank you. Our next question comes from the line of Michael Farer with Canor Genuity. Your line is now open.
Michael Farer : Great. And thank you very much for taking my questions. Two from me. I wanted to start at Eagle just taking a look at at guidance that was previously released. It, it does seem to imply only a, a very modest increase in throughput from Eagle in 2023 relative to '22 and '21. I know in the past you've talked about ramping up that throughput towards 800 tons a day. I just wanted to see if that's still the longer term goal, and if you can provide any color on the longer term ramp up plants there?
Warwick Morley-Jepson: Okay. I'm going to hand this one to Fred, but I think what we also must be very aware of is the fact that we are mining in an area which is at the similar depth to what we did in 2021 and 2020 in the 300 zone. And the 300 zoning comparison to that, or the Falcon Zone did carry higher grades. And so those higher grades, whilst at the similar tonnages did give us the overall outputs of Eagle River close to the a hundred thousand ounce per m mark. So there is that difference, but certainly our objective of filling the mold has always been there. And so let me hand over to Fred and I might be able to give you some understanding, or Fred will give you some understanding of the other areas that Mike has been drilling into, which might contribute to larger production going forward.
Fred Langevin: Yep. So Fred speaking the current bottleneck at, at Eagle is really on really ventilation and the total amount of material that we can truck and hoist from the mine as the mine is getting deeper and deeper. So we're currently really working hard on trying to -- that, ramp as much as we can. It is the congestion in that area is, is an area of concern for us, and we're actively looking at trying to that specifically for that in, in 2023. We're planning on looking at the trade-offs on an alternative conveyance system for Eagle to try and unlock the potential of the assets of depth as we know it, it still continues to go down and we need to maintain or even increase that, that throughput. One thing that is very interesting for us as well is that recent expansion of the Falcon Zone Board's surface this of course is away from that congested area. It is also much shallower. So this has the potential for us to add that, that shallower production away from congested, currently congested areas. And so we're, we're going to be very keen on the, looking at the results in this area.
Michael Farer : Okay, perfect. Thank you. And just one more for me around Kiena. You know, you've mentioned how you expect that keen costs are going to move closer to those outlined in the PFS in 2024 once you get the higher grade areas you know, with the, barring any inflationary pressures. Wondering if you can quantify the, the level of inflation that you've seen at Kiena from the PFS?
Fred Langevin: Okay. I clearly the inflationary areas that we focus on, primarily labor number one and we've seen certainly the increases in the cost of labor have escalated. If we compare that to the period 2018 to 2021, certainly we saw two and a half percent in those years. We now seen closer to four and a half this year. The second point being electrical power and energy. Certainly there has been escalations on the diesel generated underground mining equipment. So that consumption certainly has been affected. We have been very fortunate on the electrical side that given that we are fed from the national grid, that that cost has been pretty consistent. And then into the procurement area where we see a lot of our consumables explosives a underground support drilling equipment. Certainly those, those items have certainly increased as well. And there's been a variation of anything from fire to 15% on across in different commodity types or not commodity or pot types consumables. And so, you know, to give you a understanding of what escalation you could put onto the numbers that we have in the PFS would be challenging. Right now what I have said in many of my discussions with the investors and analysts is that we certainly would be coming in below a thousand dollars an ounce keen, that's for sure. The numbers that we have in the PFS will certainly be worked on during the course of this year. And it is a number that we need to come up and, and supply yourselves in the second half of, of '23. And just to confirm, is that a thousand dollars ounce cash costs or all in sustaining costs? That is the all in sustaining cost.
Operator: Thank you. Our next question comes from the line of John Tommaso with John Tommaso's, very independent research LLC Your line is now open.
John Tommaso: Thank you for the webcast and for taking my question. First looking at the 35,000 ounces you just produced in the December quarter 25 at Eagle 10 at Kiena, how much is the abnormal output from good grades in the Falcon zone? Would the normal output have been, say 18 at Eagle and Kiena?
Warwick Morley-Jepson: Thanks for your question, John. Little challenging to answer that with any de definite accuracy, but Fred, have you got any thoughts on that?
Fred Langevin: Well, I would say that the, the run rate at Eagles, I would say the normal run rate at Eagle would be in the range of, of 20,000 ounces per quarter. And, and the normal run rate that we expect from Kiena is, is more in the range of 7,500 per quarter based on the reserves that we currently have developed, this is certainly expected to pick up a kiena in as we develop that ramp and then get access to that higher grain new mining horizon in 129.
John Tommaso: Thank you. If I could ask a second question a business problem is that your share price trades like Kiana as a liability and not an asset, or the market seems to think the project as Falcon. I know that might just be a short term [indiscernible] market psychology, but you know, those of us that might own your stock field of pain why not? I know this might seem reckless to you, but why not borrow money and buy in your stock right now? Kill the ATM, draw down your credit lines and have confidence in your bodies and your personnel and your business plan?
Warwick Morley-Jepson: Well, thanks for that question, John. Let me first of all say that in my current position, I have extreme confidence in personnel, the team and the plans that we have put together. Just asked of me within my first week of arriving here in this interim CEO's position whether I was going to change guidance. And I have a, an astounding note emphasizing that as a board member, we were all party to the guidance that management had recommended. We provided oversight and we believe that that is achievable and we are setting out to do exactly that. As far as how the market might be thinking of Keena, it is very unfortunate. I believe that the explanations that we've given as to why we have lost the time we have or honest truth, and they certainly can be verified at any time. The issue of going forward and buying stock at a time where it is increasingly more important to ensure the liquidity of the company, it really is one that we are using the tools that we have, which is typically used within the industry. And to bring Kiena to a position that we know it can achieve in 2024, I think, you know, everyone including ourselves are very excited with the exploration work that has been done on the A zone. As we progressively move down with the decline, we would also be drilling laterally into the all body to better define both its volume as well as grade. And so, you know, to that period, we expect that we are going to increase our level of confidence, and that when we get down to any 1 29 level, which as we've said will be at the end of this year, develop that level and then start mining up that the position we are in now will change dramatically. We want to be in a position in 2024 that we are not paying down debt, but we are, we have opportunities ahead for us to grow the company, and we have seen where we've been and we know that we can make up from where we are right now as far as our share price is concerned. We are not happy where it is. And certainly I personally, and I don't want to affect anyone's influence or thinking on this call, but I certainly believe personally that it's, it is a stock that I want to buy more of and that's the confidence that I have and I am convinced the rest of this executive do have as well.
John Tommaso: Thank you for your very earnest response. If you would bear with me for a little little more. Sometimes the, the concept of having a CEO is a little overrated. For skew metals, a $40 billion company had the SWAT vacant for over a year in the past year, and it might eliminate one layer and shorten communications and save a budget item to have the CEO vacant. So from my standpoint, as a shareholder, it's not the biggest problem. Now during this juncture where you don't have a CEO, it's also possible to consider other strategic alternatives in the context of this situation where the stock is trading like Ken is a liability and not an asset. Now, across the street practically, you've got El Dorado, which operates in Greece and Turkey, and I can speak from personal experience about how difficult those Greeks are. I, I was asked to get an archeological permit to renovate my grandmother's house and I gave up In the course of your CEO search, are you going to call people across the street and ask them if they'll give you $150 million for Kiena? It might simplify a couple problems. You wouldn't have to worry so much about debt and the stock would double instantly.
Warwick Morley-Jepson: Yeah, maybe I can answer that by saying that Kiena as that opportunity within Western is significantly greater than the value that you, Scott there. John John, I think, you know, the fact that the market saw great value in it, taking it to our company to share prices in which it did in 2022 demonstrates that fact. And so our job right now is to focus on delivery. We know that there's been a, a, a loss of trust for what happened in 2022. And so it is our job to make sure that we regain that position. And I'm very confident that not only will the team be able to achieve that, but also we have the assets and know how on how to bring the full potential of Kiena to the table. And so that is our focus area as far as whether a CEO is a necessary entity within a company, I, I think from a legal point of view, there's a a few issues to consider. And certainly from a leadership point of view of driving it, any entity forward, one needs to have someone at the top who is pulling all the strings. And so I think that we need to consider that in, in what you said there. But thanks very much for your comments, John. I, I thank You. I'm a shareholder. I'm rooting for you. And you know, you don't need a CEO if you can sell the company for a good price, I'm not sure that our shareholders would want that for us to give it away at least. So yeah, thanks very much for your comments, John?
Operator: Thank you. This concludes the Q&A session. Thank you for your participation. This concludes today's call. You may now disconnect.